Operator: Good afternoon, everyone. Welcome to the Dave & Buster's Entertainment Incorporated Fourth-Quarter 2017 Earnings Results Conference Call. Today's call is being hosted by Steve King, Chief Executive Officer. I'd like to remind everyone that this call is being recorded and will be available for replay beginning later today. Now I would like to turn the conference call over to Jay Tobin, Senior Vice President and General Counsel, for opening remarks. Please go ahead.
Jay Tobin: Thank you, Ashley, and thank you all for joining us. On the call today are Steve King, Chief Executive Officer; and Brian Jenkins, Chief Financial Officer. After comments from each of Mr. King and Mr. Jenkins, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster's Entertainment Inc., and is copyrighted. Before we begin our discussion of the Company's results, I'd like to call your attention to the fact that in our remarks and our responses to your questions, certain items may be discussed which are not based entirely on historical facts. Any such items should be considered forward-looking statements and relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Information on the various risk factors and uncertainties has been published in our filings with the SEC, which are available on our website at www.daveandbusters.com under the Investor Relations section. In addition, our remarks today will include references to EBITDA, adjusted EBITDA and store operating income before depreciation and amortization, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings announcement released this afternoon, which is also available on our website. Now, I'll turn the call over to Steve.
Steve King: Thank you, Jay, and good afternoon, everyone. We appreciate your participation in our quarterly and year-end conference call. Today, I'll begin by providing an overview of the fourth-quarter and full-year performance and update you on our key strategic priorities. Brian will delve into the financials and provide updated 2018 guidance. And then, finally, I'll conclude by sharing an update on our development efforts before we open it up to your questions. Looking at the full-year results, we grew revenue and EBITDA by low double digits, while keeping EBITDA margins relatively flat year over year. But unfortunately, after several years of significant same-store sales growth, we reported comps down about 1% for fiscal 2017. The fourth quarter proved to be a challenging sales environment for us, with comps declining by 5.9%. We did not anticipate the abrupt drop in momentum in the latter part of the quarter as we finished the fiscal year. To put this surprise in a bit of context, October, the last month of Q3, had modestly positive overall comparable-store sales. The most dramatic change in the trend was the slowdown in amusements. For the first nine months of the year in 2017, the amusements business performed well for us, with comps increasing about 4%, and on a two-year stack, our comps were up just under 11%. However, in the early part of the fourth quarter, we saw a slight softening, which we pointed out on our call in early December. At that point, we still expected trends to reverse during our seasonally strong weeks in December and January. Instead, the trends deteriorated further, and those soft trends have continued into the first quarter of this fiscal year. In retrospect, our new amusement offerings in the quarter proved less compelling than in the comparable period last year. Weather was unfavorable, and the impact of competitive intrusion was higher than we had forecast. In addition, our recent research shows that some of those who say they are coming less often tend to be a subset of younger guests, who are more casual about gaming and more focused on other aspects of the experience. We have opportunities to improve our food and beverage offerings to better meet their needs during their visits. So while we continue with our plans to satisfy our core demographic with superior game content, we're also taking this opportunity to advance several key food and service initiatives that will serve to improve our guest satisfaction. Overall, we need to deliver new game content, food improvements, better, specifically, faster service as well as redemption prizes that are more accessible. Value comes through as an issue in the research, but it appears to be less centered on price and more on the overall quality of the experience. Now let me get into a few specifics and update you on our four strategic priorities for driving results over the intermediate to long term, which include amusements, food and beverage, reducing friction in the guest experience, and driving 10% or more unit growth annually. First, amusements remains the primary reason for the visit. As such, we'll continue to differentiate our amusement offering by adding titles on a proprietary, exclusive, or nonexclusive basis. We remain excited about our 2018 game lineup, including the planned launch of our proprietary virtual reality platform in the middle of the year. We have signed an agreement and development is under way for our first title, which is based on a very well-known Hollywood film franchise. We plan to announce the details of this title as soon as -- soon, in conjunction with our studio partner. As we mentioned on the last call, our virtual reality platform will enable us to build a library of content and capitalize on the opportunity for many years. In fact, we plan to launch a second proprietary VR title on this platform toward the end of the year. In an increasingly competitive environment, offering differentiated content will be more important than ever. Second, food and beverage. We know that the overall satisfaction of our guests is highly correlated with their dining experience with us. Our goal within food and beverage is to enhance the quality of our offering and improve the speed of service. We're investing in higher quality that our guests can see and taste. We recently introduced a new burger product with an Angus blend and plan to launch a new chicken product and steak as we transition out of our existing contracts. And finally, we hired a new vice president of food and beverage development to lead our efforts in this area. Speed is synonymous with service for many of our guests. We're improving speed of service through menu redesigns and process simplifications in the kitchen area. In February this year, we streamlined our menu and reduced the number of food items by about 20% and our beverage offering by slightly more than that. In addition, we're on track to test the quick-casual offering inside D&B during the back half of the year and view this as a potential complementary delivery mechanism to this casual dining inside our facilities. Again, implementing the tasks and reading the results of all these initiatives will take some time. Our third strategic priority is reducing friction in the guest experience. A combination of technology, operating processes, and how we deploy our people will be key to this strategy. We continue to test new technologies such as pay at the table that can improve table turns and reduce wait times in the dining room. In addition, we're working on reducing friction in other areas as well, especially at the front desk, at our bars, and while activating games in the arcade area. The fourth priority is driving 10% or more unit growth annually, which we believe to be the biggest driver of value over the long term. Our new stores continue to generate very strong cash-on-cash return even after taking into account the sales impact on the existing system. As the category leader, we remain the tenant of choice and often get the first call or best site in a given trade area. If the location is a good fit in one of our previously identified targets, we often choose to move forward, particularly if we believe the alternative use is a brand that will create some sales pressure on our existing units. The first three of these strategic priorities are specifically aimed at improving relevance among our core target of young adults. We're investing more in research than ever before and have increased our capabilities with leveraging big data to gain insight. This will be reflected in what we offer new promotions that combine food and games that deliver greater value perception. This will also be reflected in how we reach these young adults. We plan to increase our investment in digital media significantly in 2018. Our broadcast media has not been consistent at delivery, and we recently hired a new media agency with a strong track record with digital media, innovation, and measurement. Overall, we recognize the need to continuously evolve the brand and increase relevance with our guests, especially in the context of growing competition. Our focus will be on identifying opportunities for improvement at a deeper level and testing of potential solutions with the goal of returning to positive comparable-store sales. The good news is that the management team has a strong track record of evolving and reenergizing the brand. That said, we do not expect the turnaround to be quick or easy. In fact, we consider 2018 as a year of recalibration that will lay the groundwork for much of this evolution. In terms of our guidance for 2018, we now expect year-over-year revenue growth on a comparable 52-week basis in the 7% to 11% range, which is lower than our prior guidance of low-double-digit revenue growth. And at the midpoint of our guidance, we expect EBITDA to be flat on a year-over-year basis. And Brian will elaborate on these changes in his prepared remarks. With that, Brian?
Brian Jenkins: Thank you, Steve, and good afternoon, everyone. First, I want to thank our team members across the country for their continued hard work that enabled us to deliver our fourth consecutive year of record revenue, net income, and EBITDA. Over the past four years, we have significantly grown our EBITDA and expanded our margins on the shoulders of this team. We recently hosted our annual general managers' conference, and it was encouraging to see our team's passion for the D&B brand, and more importantly, the commitment and resolve we have to reverse the recent challenging comp-sales trends. Turning now to some of the highlights from the fourth quarter, which I will remind you, included 14 weeks this year versus 13 weeks in the year-ago period. The extra week in fiscal 2017 generated approximately 19.7 million in revenue, 0.9 million in net income, 3.4 million in EBITDA, and 4.3 million in adjusted EBITDA. For the quarter, total revenues increased 12.9% to 304.9 million due to strong contributions from our newer stores and the benefit of the extra week. Excluding the extra week, revenues were up 5.6%. On a 13-week basis, revenues from our 76 comparable stores fell 5.9% to 214.9 million, down from 228.3 million, while revenues from our 30 non-comparable stores, including five that opened during the quarter, increased to $73.6 million. That's up from 43.9 million in the prior year. Turning to category sales, amusement and other sales grew 15.3%, while food and beverage sales collectively grew 10%. During the quarter, amusement and other represented 54.5% of total revenues, reflecting a 110-basis-point increase from the prior-year period, continuing a long-term trend. Breaking down the 5.9% decrease in comp sales, our walk-in sales fell 6.4%, while our special events business was down 2.9%. In terms of category sales, amusements was down 4.2%, while our food and bar business was down 7.4% and 8.5%, respectively. As Steve previously mentioned, less compelling game content, bitter cold weather, particularly during the busy holiday season and higher-than-expected impacts from competitive intrusion were all contributing factors. In terms of cost, total cost of sales was 54.6 million in the quarter and as a percentage of sales, was 20 basis points higher versus the same period last year. This reflected a decline in F&B margins, partially offset by improved amusement margins and a higher mix of amusement sales. Food and beverage cost as a percentage of food and beverage sales increased 130 basis points compared to last year, as approximately 1.9% in food pricing and 1.2% in bev pricing, was more than offset by commodity inflation, an unfavorable mix shift, and a product write-off related to the launch of our new and improved burger product in early 2018. Cost of amusement as a percentage of amusement and other sales was 40 basis points lower than last year. This was driven by a moderate price increase in our WIN! merchandise and a shift in game-play toward simulation games. Our operating payroll and benefit cost was 30 basis points lower year over year despite comp-sales pressures. Lower incentive comp, a strong focus on managing hourly labor, and favorable benefit costs were the key drivers underlying this improvement. This was partially offset by higher store-management expenses, hourly wage inflation of about 4%, and the typical inefficiencies of our non-comp stores. Our non-comp stores represent 28% of our store base now, and they're performing well. In fact, our 2016 class of stores generated first-year cash-on-cash returns of more than 50%, well above our new-store economic model. However, as you know from our prior calls, from a labor perspective, they tend to be less efficient compared to our mature stores. Other store operating expenses were 150 basis points higher year over year, primarily driven by higher occupancy costs at our non-comp stores and deleveraging in our comp store base. Marketing expenses were also higher as a result of incremental media related to the 53rd week, further test in the digital-media space, and inflation in media costs. In addition, we invested significantly more in research to better understand our guests and to develop more compelling advertising and promotions. Store operating income before depreciation and amortization was 94.3 million for the quarter, compared to 87.2 million last year, reflecting growth of 8.1%. As a percentage of sales, this was a decrease of 140 basis points year over year to 30.9%. G&A expenses were 14.4 million, essentially flat versus the prior year, as reduced incentive compensation, lower legal expenses, and better cost control offset increased headcount to support our growing store base. As a percentage of revenues, G&A expenses decreased 60 basis points year over year due to leverage on our sales growth. Preopening costs increased to 9.1 million. That's up 4.1 million from the fourth quarter of 2016. This was primarily due to the impact of significant pre-spending, associated with our strong lineup of 2018 openings. As a percentage of revenue, preopening costs increased 3%, up 110 basis points compared to the prior year. Our EBITDA grew 4.3% to 70.8 million, and EBITDA margins were 23.2%, down 198 -- I'm sorry, 190 basis points versus the same period last year. Adjusted EBITDA grew 10.7% to 82.5 million and excluding the impact of the extra week, increased 5%, marking our 30th consecutive quarter of growth. Net interest expense for the quarter increased to 2.6 million. That's up from 1.4 million in the prior year, driven by higher cost of debt due to increases in the underlying LIBOR rate as well as higher average debt levels. Turning to taxes. During the fourth quarter, the federal government enacted the Tax Cuts and Jobs Act, which required the revaluation of our deferred-tax positions using the new federal statutory rate of 21%. This resulted in a non-recurring one-time favorable adjustment to our fourth-quarter tax provision totaling 8 million or $0.19 per diluted share. In addition, the impact of the lower statutory rate for approximately one month of our fiscal year increased net income and EPS by $2 million, or $0.05, respectively. As a result, our effective tax rate for the quarter was 10.6%, compared to 36.7% in the fourth quarter of last year. We generated net income of $35.6 million, or $0.85 per share on a diluted-share base of 41.7 million shares, compared to net income of $27.4 million, or $0.63 per share in the fourth quarter of last year on a diluted-share base of 43.4 million shares. Net income and EPS excluding the net benefit of the tax reform would've been $25.6 million, or $0.61 per diluted share. Shifting to the balance sheet for just a minute. At the end of the quarter, we had 367.3 million of outstanding debt on our credit facility, resulting in low leverage of approximately 1.4 times EBITDA. During fiscal 2017, we repurchased approximately 2.6 million shares of our common stock for just under $152 million. The inception-to-date total as of March 28, 2018, stands at 3.7 million shares for 202.8 million with just over $97 million still available under our current $300 million authorization. Turning now to our outlook for 2018. Total revenues are expected to range from 1.2 billion to 1.24 billion, up approximately 5% to 9% compared to fiscal 2017, or up 7% to 11% on a comparable 52-week basis. This is lower than our prior guidance of low-double-digit growth in revenue. Comp-store sales on a comparable 52-week basis is projected to be down low to mid-single digits, reflecting softer-than-expected recent trends, a more competitive environment, and higher cannibalization year over year. On a relative basis, we expect second-half comps to be better than the first half as we roll over easier compares. From a development perspective, we're targeting 14 to 15 new store openings, including two of our new 17K format stores. These openings will skew toward the first half of the fiscal year, large-format stores, and existing markets for our brand. We've already opened four of those stores and plan to open two more in the first quarter of this year, and we have -- currently have eight stores under construction. We are projecting net income of 95 million to 110 million based on an effective tax rate of 23% to 24%, which includes the impact of the new tax legislation. We also estimate a diluted-share count of about 41 million shares. We project EBITDA of 255 million to 275 million. Net capital additions after tenant allowances and other landlord payments are projected to be 170 million to 180 million. And I do want to remind you that we will have one less week in 2018 compared to 2017, unfavorably impacting revenue and EBITDA by about 20 million and 4 million, respectively. Additionally, due to the one-week calendar shift, our year-over-year quarterly results will not be directly comparable to last year due to the seasonality in our business. We anticipate the elimination of the 53rd week and the calendar shift will have an unfavorable impact on revenue of 1.4 million in Q1, 5.5 million in Q3, and 18.3 million in Q4, and a favorable impact of 5.7 million in Q2. Lastly, please keep in mind that our mix of 2018 stores includes two 17,000 -- 17K-format stores that are expected to generate AUVs of 4.5 million to 5.5 million in their first full year of operation, which is about 40% to 50% lower than our original small-format stores. With that, I will turn the call back over to Steve to make some final remarks.
Steve King: Thank you, Brian. I'd like to review our recent and upcoming store-development activities as well as a little bit about the long-term opportunity. We continue to be very pleased, as Brian mentioned, with the response of our recent store openings. During the fourth quarter, we opened five new stores in Brandon, Florida, which is just east of Tampa; Woodbridge in northern New Jersey; Auburn, Washington; Baltimore, Maryland; and Bayamon, Puerto Rico, which you may recall was delayed by about a quarter. New Jersey, Washington, and Puerto Rico are all new states or territories for the brand. As Brian mentioned, in the first quarter so far, we've already opened four stores, including Rogers, Arkansas, our first 17K-format store, and stores in Memphis, Tennessee; Wayne, which is also northern New Jersey; and Anchorage, Alaska, which is a new state for us. The 14 to 15 new stores we plan to open this year represent about 13% to 14% unit growth, are comprised of eight stores in new markets for D&B, with the remaining stores located in markets where we already have a brand presence. As Brian mentioned, we currently have eight stores under construction and a total of 27 signed leases, providing us with significant visibility on new-store growth well into 2019 and early 2020. We're confident that we have a strong and dedicated team needed to execute on our vision of opening these stores. In terms of square footage, at the higher end of this range, we expect 11 large stores, including nine that are approximately 40,000 square feet, two that are between 30,000 and 40,000 square feet, and the remaining stores will be comprised of two small stores, again those are 25,000 to 30,000 square feet and two of our 17K-format stores. So in conclusion, we believe our white-space opportunity remains large. We're targeting 230 to 250 locations in the United States and Canada alone, including the 17K format. Our plan focuses on taking market share by driving unit growth at a consistent, measured pace. At the same time, we need to evolve the brand and continuously develop new reasons to visit by enhancing our offerings, improving the perceived value of our offering, executing well inside the box, and showing that we're reaching our audiences effectively. As always, we appreciate your interest in Dave & Buster's. And at this time, Ashley, would you please open the lines for Q&A?
Operator: Thank you. [Operator instructions] We'll take our first question from Jake Bartlett with SunTrust. Please go ahead.
Jake Bartlett: I'm wondering if you can look back and just touch on kind of what the narrative was in the fourth quarter when you gave the quarter-to-date update around weather, around the new games over the holidays not being as successful. And then kind of moving forward into early first quarter here, it seems like weather has improved. You had some games that came out that you thought were going to be as successful or maybe even better more recently. What has changed? Do you have any sort of different view of what has been happening and what's been driving the deceleration? And how do you explain kind of staying in this kind of -- maybe if you could kind of quantify and help us where you are right now, but I'm assuming it's in this kind of mid -- negative mid-single digit comp trend right now.
Steve King: So let me see if I can clarify. I think what we said when we were -- when we talked to folks in January, I think you're referring to, after we kind of pre-announced results was that we thought the major influences were really content first, followed by competitive intrusion and weather as the two things that were different from what we anticipated. I would say, first-quarter competitive intrusion and weather are not different from what they really were in the fourth quarter. The weather has not been our friend so far in this quarter. I think that during ICR specifically, one of the things that we were saying was that on a year-over-year basis, the early part of the first quarter was unlikely to show any kind of significant shift as we were rolling over what we thought was good content from last year was good content from this year. And that really, the best prospects to see a significant change in trajectory weren't going to come until the second quarter when we roll VR.
Jake Bartlett: I thought you were talking about having a game that turned out to be Tomb Raider that was going to be about equally as successful to Walking Dead last year, and then you were going to come out with a game that you thought was going to do better than Pirates of the Caribbean, which had not been successful. So -- but it sounds like that the games you've put out so far have been less successful than they were a year ago. Is that the right way to think about it?
Steve King: Well, they haven't driven any more traffic than what we rolled a year ago. In fact, our traffic trends -- based on what we're guiding, traffic -- and what we've said during this call, is traffic trends remain weak. So we haven't currently seen a turn as it relates -- as a result of the two piece of content that we rolled so far. And one of them has been out about two weeks just for what it's worth.
Jake Bartlett: Do you blame that on the content? Or do you blame that on just your consumer being -- needing a little bit more to be inspired to come in?
Steve King: Well, I think that the content is not such that it is driving the traffic that we anticipate that we'll get when we have something that's significantly different than what we've rolled in the past, which is, again, out to kind of VR in the second quarter. So I mean, do I lay it at the feet of -- I think in part, what we're trying to say in terms of the research in what guests are visiting us less and that sort of thing, there are issues here that are related to content, and there are issues that go broader than specifically content. And a lot of those surround, I would call them, less-attached-to-games guests than we've had in the past or less-committed-to-games guests than we've had that have been attracted to Dave & Buster's and that we've been able to attract to Dave & Buster's but are more critical of some of the other elements of the offering like F&B.
Jake Bartlett: And just quickly following up on the virtual reality. You mentioned a title that you're going to -- you start launching it with a title or testing it with a title. What's the time frame in terms of when we can expect to know more about what you're offering is? And then you sounded like -- sounded like the second quarter but just at the tail -- the back end of the second quarter? Or how should we think about the roll-out of VR and how that could impact results?
Steve King: I mean, we've continued to say midyear, and we'll announce the exact timing when we have the exact timing. I've mentioned it's under development. It's currently being written. We have an agreement for the IP. So we're confident that we're going to deliver it in midyear, but exact timing behind that is something that we'll wait until we have 100% line of sight to.
Operator: [Operator instructions] We will take our next question from Sharon Zackfia with William Blair. Your line is open.
Sharon Zackfia: I guess following up on virtual reality, can you give us any idea on how you're thinking about pricing virtual reality? And I think, previously, you had said it would not be utilized with the Power Card. It would be separate. I'm just wondering if that's still the case. And then in the guidance, I think you said you expected comps to get better just because comparisons are getting easier. Are you anticipating any specific benefit from VR?
Steve King: So we have priced VR in test as a separate item for cash and credit without an ability to utilize it on the -- on your Power Card. Our intent in terms of how we intend to roll it is similar, although we're planning to offer the ability to purchase what we'll call an attraction chip, for lack of a better description, or a VR chip that you can put on your Power Card for a separate price, so it doesn't deplete the other chips that you use, the regular chips that you use, as a way for people to be able to activate VR or participate in VR. And we think that will just make it a little bit easier for us to manage from a throughput standpoint. And then in terms of have we or do we anticipate kind of incremental revenue from this. Our measurement when we tested it, and again, this was tested with generic content, was that there was overall -- and we didn't put it on television, by the way, just so that there was some incremental sales associated with it.
Sharon Zackfia: And then price points, are you comfortable discussing that?
Steve King: We tested it at $5 per person. And I think we will roll with $5 per person. I mean, we may offer some promotional ways for you to get it at a lower price, but our thought is that we put it out at $5 per person and kind of see what kind of demand it generates.
Sharon Zackfia: And one last question on it. Is the launch going to be kind of around June? I know you said this summer. I don't know if we're technically thinking June or July or when.
Steve King: Well, specifically, we haven't been specific. So I mean, we've said midyear over several times, so I think we will deliver it by midyear.
Operator: And we'll take our next question from Andrew Strelzik with BMO Capital Markets.
Andrew Strelzik: So my first question, there's been a lot of conversation, obviously, about virtual reality midyear and compares getting easier in the back half as one of the reasons that the comp trajectory might improve. There's a number of things that you're working on, so I guess can you help me understand what exactly the timing is of each of these initiatives that you kind of laid out for 2018? Understanding that this is kind of laying the foundation, but as we just think about the drivers and think about the different things that you're working on, can you lay out the timing of them?
Steve King: Sure, I mean, as it relates to content, I think that kind of VR is the hero there, but we do have some other things in the pipeline that we think are marquis titles that truly will have the potential to be traffic-drivers, bigger names than Tomb Raider or Rampage that we've rolled out so far this year. So we're encouraged about the titles that we have for the balance of the year. We have already changed our menu in February. I view that as a longer-term initiative. I mean, we're really, we shrunk the number of items, and that's really an attempt for us over time to deliver better quality and faster speed. I don't think that that's the kind of thing that you get an immediate reaction to, but, again, a rather longer-term play in terms of when we would expect to see results from that. And then we have also called out that we intend to do a quick-casual test. That'll be sometime in the second half of the year. That will be tested in a couple of stores to start, so I wouldn't expect that that would have any kind of significant impact on 2018 other than perhaps to directionally give us an idea of where we could invest in 2019 in order to have an impact there. So that's a little bit about the F&B side. I'd say on quality that counts, we've already done the burgers. We intend to do the chicken as quickly as we can, as we roll out a contract, same with steak. So pulling out, or changing products where we think we can get credit, both from an absolute tasting point and from point so we can call it out in a way that will get some credit from the guests. And then as it relates to the friction that we talked about, there's a number of different elements to friction. We are deploying, I think its 280 additional kiosks, new kiosks that are upgrading, new technology on that. We are deploying resources against the front desk in order to try to either prevent the line from occurring or bust the line in the event that it's there. And really, that's an attempt to say, there's a lot of people that are being attracted to our front desk and getting frustrated by being in line who don't need to be in line at all. So trying to figure out how to make sure that we clearly communicate to folks that if you're looking for a different part of the experience, then there's other ways for you to access it without waiting in a line, and then RFID for the games, I think that's really a question of time and the pricing on the cards that we're out to bit with that. If it comes close enough, I think we could be deploying RFID cards as our primary card in the second half of this year, and we're testing pay at the table. Pay at the table's gone much more slowly than we'd like, and bumpier than we'd like. I think that we like a lot of the elements of what that brings to us in terms of speed of service, table turn, convenience for the guests, having it their way, so to speak, in terms of being able to pay when they want to pay. But if we are successful with that test and being able to roll it into other stores successfully, that would be an end-of-the-year kind of time frame in order to be able to deploy that.
Andrew Strelzik: That's very helpful color. I appreciate that. My second question, as you've ramped up on an absolute basis the number of openings per year, presumably you're taking away some of your better managers at the store level to open those new stores, is there any sign that the ops have suffered in your existing locations that may -- and I don't know how to ask this delicately, but that maybe -- the management talent and the number has suffered at the existing stores in favor of the new stores, I guess, is the best way to say it?
Steve King: So I think there's two parts to that question. Intuitively, I don't think there's any doubt that we have depleted some of the resources from our existing stores to the opening of new stores. I mean, it's part of the model how we want to open new stores with ideally a sitting GM going to the new store. I'll caveat that by saying the objective measures that we're seeing on execution don't appear to have been compromised by that. So -- and I mean by that, the 400,000-or-so guest-satisfaction surveys that we're getting don't seem to indicate that the overall level of execution is deteriorating. And in fact, it's increasing a little bit on a year-over-year basis. So even assuming there's some sampling error, it just doesn't seem to explain what we're seeing from a comp standpoint.
Operator: And we'll take our next question from Jeff Farmer with Wells Fargo. Please go ahead.
Jeff Farmer: You touched on several of the amusement same-store sales headwinds, so, can you help us understand why amusement same-store sales fell so abruptly? I think you said, really, it's around the November time frame, so again trying to understand why it fell seemingly off a cliff. And then what caught you by surprise in terms of looking back at what happened over the fall into the early winter with amusement same-store sales?
Steve King: I mean, I think I said in my opening comments, we didn't anticipate a drop in momentum in the latter part of Q4 as it related particularly to the slowdown in amusement, which had been running positive comps of roughly 4% for the first three quarters of the year. It -- we did not perceive that going into the fourth quarter that we were doing something dramatically different on amusement. Again, in retrospect, I guess Rock'Em, Sock'Em was a big, very compelling visual advertising method that we had in the fourth quarter of last year. But honestly, the amusement slowdown started before Rock'Em Sock'Em. So you would point toward something that's more cumulative in nature as opposed to discrete event in nature. And by that, I mean that if people were dissatisfied with content over the years -- over the year that you would advertise and maybe they're reacting to it in the fourth quarter when they were disappointed in previous quarters. And again, back to our frequency, it's relatively infrequent. A couple, three times a year on average, so you can see a situation where it may take time for people to react to a disappointment on the content side. So, again, I don't know that there's a clear-cut -- it was because of X that amusement sales dropped, but amusement sales between October and December were radically different on a year-over-year basis.
Jeff Farmer: Then a lot of questions on VR moving forward, I guess as we get to the middle part of the year. But what gives you confidence and just another way to ask this question, but what gives you confidence that your proprietary gaming lineup will be more impactful in fiscal '18 than it was in fiscal '17 really, beyond VR?
Steve King: Yes, well, moving beyond VR, we do not have any proprietary games planned for 2018. We did not have any proprietary games in 2017. We had proprietary games in 2016. We had exclusive games in 2017, but no proprietary games other than, I guess, Spider-Man technically was proprietary to us. But that was the only one that we had last year that was proprietary. So I think, first of all, I mean, VR, something visually much more impactful than what any one of the games that we rolled in 2017 was. And I think that as mentioned, we have multiple ways that we can utilize that platform with multiple elements of intellectual property. I think that intellectual property that we'll be rolling first will be one that will be extremely well-known. And actually the one we're doing in December that is extremely well-known as well. And so a part of it, in terms of the timing of this, has been that we wanted to roll it with some significant IP that would have -- be very compelling and be well-known from a consumer standpoint. So we weren't rolling it with a more generic platform that, I guess, some others are utilizing for VR.
Brian Jenkins: I'd also add, I think some of the -- I mean, we tested the platform, the notion of this as Steve said earlier, generic content, and saw, without even advertising, pretty good uptake and penetration when we were operating that ride. I'll call it a ride because it's an emotion-based platform. So our feeling is that if we have compelling IP, we put it on TV, it's a great-looking platform. It's going to present very well in a TV spot, that it could be -- perform a lot better than our test environment when we were kind of testing the platform, which is generic content so.
Steve King: Jeff, one other thing I'll add to this is I don't think anybody else is going to do this. And I think that we have a number of games that we have in our midways today that you can find in other competitors' environments. And so I think that our move toward proprietary is really an effort to differentiate our offering compared to theirs.
Operator: And we'll take our next question from Steven Anderson with Maxim Group.
Steven Anderson: Yes. I have a question about the -- your service initiative. And given that you've been studying the last couple of quarters, reducing some of -- trying to keep -- trying to control on labor costs, do you foresee yourselves having to add additional labor particularly during peak periods where service times have potential to increase? And then I have a follow-up.
Brian Jenkins: Well, I mean, labor's been a focus for us for a long time, not just this year since we came to this company over a decade ago. Obviously, as the numbers shifted down and our comps came under pressure in Q4, our teams, our operating teams did what I would call a fabulous job reacting to that and sizing down the staff when our sales were softer. And Steve mentioned our guest-sat scores did not suffer. In fact, we improved. So the evidence isn't that we short-cutted the guest experience, at least in the data we have. We are and we've worked hard on -- we've talked about this a lot on recent calls, as we've grown the store base and have this big base of sort of immature new -- non-company stores. The gap between the non-comps and our comp base narrowed significantly in Q4. And, again, that's been a significant focus for the operating teams and some of our folks in finance and our regional folks to really try to dial them in quicker and the smallest gap we've had in a long time between those two in Q4. So I think those are good things. We do have a workforce-management system that we put in place, I believe it was back in 2010 that we used -- and have used for a long time. It was one of the most impactful pieces of technology at its time, and it helped us a lot. The fact is, though, we're upgrading, we're in the midst of actually upgrading that tool right now to a new platform that we like a lot better and we're in the midst of that. We'll be done with that sometime around midyear, but this will be a more real-time labor-management system that will allow us to react more in the heat of the battle in terms of dealing with staff and really optimizing the staff so that we aren't hurting -- putting the right people in the right place at the right time so that we aren't negatively impacting the experience. So it's something we're always focused on and we're investing in and putting money and people around putting this new tool in as we speak.
Steven Anderson: Well, the other question I wanted to ask also was on the value side of the food and beverage business and you may do well where you certainly have -- in the casual dining, look at quick service and a huge emphasis on discounting, whether it's two for $5 burgers or $7.99 or $9.99 dinners in casual dining. I just wanted to see if there's anything that you see, like a marry opportunity maybe in the -- on your Eat & Play Combo, maybe emphasizing that a little more or expanding that platform?
Steve King: So you mentioned EPC but historically, EPC, or Eat & Play Combo, 1/2 Price Wednesdays, really, our happy-hour offering and playing new games for free, and actually the 20 for 20 have been a cornerstone of our value offering. Some are, honestly, not resonating as well as they once were. And you mentioned EPC, it's not getting the uptake that it was in the past. So we're working to recast that. For example, we're going to test a new version, we're currently testing actually, a new version of EPC where you choose your entree and then we discount the card. And I'd say, broadly over time, that's more what we've done, is we have discounted more on the amusement side than we have discounted on the food and beverage side. I say that, but we've always had a very attractive happy hour, 50% off cocktails and special prices on beer. Again, that's one that, in some of our research and focus groups, isn't resonating quite as well, because people don't really understand what that 50% off cocktails means. So, again, we're in the process of conducting a three, four, five happy hour, meaning every item is either $3, $4, or $5. And the good news about that is you can actually promote it digitally. You can't promote alcohol on linear advertising, but we're doing those tests because we do see a need to work on value. I mean, the research confirms that value is an issue that consumers bring up, but it seems more centered on overall quality and not so much on specific price. Although I just mentioned two things where we're going to really try to go after specific pricing in order to better communicate what those values are.
Operator: And we'll take our next question from Andy Barish with Jefferies.
Andy Barish: Hey guys, I think you may have just answered the question, but I was interested in digging into a little bit more on the sort of non-game-attached consumer that you mentioned. I think that's probably about one-third of your customers and where the -- where the research is showing a larger disconnect taking place. And maybe it is primarily on value, but any other factors that you're seeing would be helpful.
Steve King: I think it's both value and speed. We have a significant number of things. They'd like a different delivery mechanism. I think we mentioned that in the past, we've got a significant number of things, they'd rather see a quick-casual offering, some of them even a counter-service offering. But I think that it can be a complement to our full-service opportunity because we still have a majority that wants -- a significant majority, that want a full-service experience. But we are seeing those folks say, "I don't want to take as much time out to eat. I would prefer a way to eat in a quick-casual environment and I'd like it even better if I could order it on my phone and walk up and pick it up when it's ready." So we sort of envision what that -- part of what we have envisioned for a quick-casual offering is that our store, a complement to the full-service experience, where people who don't want to take the time to sit down, perhaps go on a list for a table and some of that sort of stuff at peak. We would be able to increase our attach rate by offering them something and having them either not eat before or not eat after they come to enjoy D&B.
Andy Barish: And just a quick follow up on that. Did you mention that you're seeing that as a younger customer that is sort of demanding those?
Steve King: I think that offering would be broad in terms of its appeal, but in terms of those who are, I'll call it, more disaffected, would be they skew younger.
Operator: And we'll take our next question from Brian Vaccaro with Raymond James. Brian, your line is open, if you can unmute yourself.
Brian Vaccaro: I'm sorry I'm still learning that mute button. Good evening, guys.
Steve King: That was the best question yet, Brian.
Brian Vaccaro: That's all I had. So coming back on the recent sales trends, if I could, and I think you said the quarter to date remains soft, but with two months under your belt now, would you would be willing to put a finer point on what that means? Is that worse than the downside nine we just reported for the fourth quarter? Or any additional color you'd be willing to provide?
Steve King: The answer is no, and I'll try to provide some color as to why no. This is the most volatile quarter on a week-to-week basis that we have. And I would say that the shifting of the holiday of Easter this year versus last year and all the rest of that creates a tremendous amount of noise in it. Not to mention which we did have a bunch of, as I mentioned earlier, I mean, I don't think the weather was any better to us in Q1 here than it's been in -- it was in Q4. But having said that, I just think it would not be meaningful or accurate to plug the number in the middle of a quarter here. And we're giving you guidance based on everything that we can see and know today, right. And we're giving you our best guess of what we think is going to happen. We'll know at the end of the quarter, and so will you, slightly after the end of the quarter, where it all shook out.
Brian Vaccaro: And just so I remember correctly, the shift in Easter earlier and shift in spring breaks, that's a benefit to the month of March, is that correct?
Steve King: Yes, I saw some notes on casual dining doing really well in March, sounds like yes, they should have. That's a benefit.
Brian Vaccaro: All right. A couple of cleanup questions on VR, if I could. So you said $5 a play per person. I just wanted to confirm, is that initially still going to be offered during, sort of, the Thursday through Sunday period, is that still the plan?
Steve King: Our plan is to offer it at peak times, so we haven't said exactly. I think during the initial roll-out, it's most likely to be advertised as kind of nights and weekends, but we may -- I mean, clearly -- we're going to adapt based on where there's demand for it because the labor associated with it is relatively low. I mean, you only need a couple of people that, kind of, pay for the labor per hour, so we may expand those hours depending on what the demand is. But early on, I think certainly nights and weekends, but then holiday weeks, I think, will be a no-brainer in terms of perhaps over the summer will be a no-brainer as well during the week. So we will monitor it and open as appropriate.
Brian Jenkins: Yes, we'd like to have a reason to have it operate a large part of the week. And so yes, again, we'll see how it goes and all stores probably will not be created equal here. We have some stores that do huge volumes and the capacity of this is four-player platform, some stores actually will get two of them, so we will -- it won't be the same and necessarily in every store.
Brian Vaccaro: All right. That's helpful. And on the labor line, in the fourth quarter, it looks like the cost per week was down around 10%. And I know we saw some savings kick in starting in the third quarter obviously, but have there been new initiatives put in place, sort of, in recent months on top of what you were doing in the third quarter?
Brian Jenkins: Well, Brian, you're asking about overall total labor here? Total operating labor, that's what you're speaking to when you're talking about an average?
Brian Vaccaro: Yes, just speaking about underlying labor cost trends in the fourth quarter versus the third quarter. And sort of I think in the third quarter, you said about it was -- specific then that you were seeing outside gains in new unit productivity sort of on that margin ramp. And have there been new initiatives in place maybe to fortify the existing asset base, just any color 4Q versus third quarter?
Brian Jenkins: I don't know if I'd call it a new initiative. We are always focused on labor in the Company. But obviously, when comps came under pressure in Q3, we stepped up that focus so, a significant topic of discussion in terms of trying to dial in non-comp stores faster without damaging the experience, but dial them in to make -- to bring them more in line with our mature stores. So that's been a huge focus in the back half of 2017. But just to be clear, in my comments, when we talked about being 30 bps favorable in operating labor and benefits, there is a significant driver around incentive compensation in that number. Again, it's the self-correcting nature of our bonus program. So if we miss budget, in the Company, in the field, there's a correction there. So that's the most significant driver, followed just close behind by better hourly labor as a percent of sales, which is really impressive when you think about, again, comps being down as they were and this big growing base of non-comp stores. So I feel like we did -- the team did a great job as I said in my remarks. And then we actually deleveraged on management labor. So we have some big structure in these stores, management teams, that given the lower sales that we saw in Q4, actually was a deleveraging piece in that whole pie. So a couple of factors, but there's heavy focus on this. And that's why we are investing a significant amount of internal resources and dollars on putting in what we believe is a state-of-the-art workforce-management platform.
Operator: And we'll take our next question from Nicole Miller with Piper Jaffray. Please go ahead.
Nicole Miller: Sorry to go back to the fourth quarter, but I had previously been under the impression that weather was the biggest factor, albeit the quarter was not closed out at the time you talked to us in January, and it sounds in the commentary today like that is not the case. So it'd be very helpful if you could quantify the weather impact. Is that along the lines of 100 basis points, 200 basis points? How can we think about that?
Steve King: So directionally, on the -- first of all, I think what we said at ICR multiple times was, No. 1 was content; No. 2 was weather; and No. 3 was the increase in competitive intrusion compared to what we were expecting. So weather was about 100 bps of that.
Nicole Miller: And then in terms of current trends, can very much respect the volatility for us to get margins modeled appropriately, are you implying that the segment of food and beverage comp is similar to 4Q and amusement is similar to 4Q? Or are you meaning to imply those have changed for some reason but the total-system comp is similar first quarter to date?
Steve King: I'm not sure we were trying to give that level of specificity, but the directional trends are the same in terms of comp, in terms of our best in amusements, and kind of food and beverage trail that.
Brian Jenkins: Clearly, the amusement-to food-and-bev gap narrowed. They still outperformed in Q4 but not near the level we've seen, obviously, in the first part of the year, and that's what we talked about at ICR that we saw a significant narrowing between our food and bev and amusement performance in Q4.
Nicole Miller: And then, all else equal, and I know they're certainly not, what kind of food and bev and what kind of amusement comp do you need to hold margins steady?
Brian Jenkins: Well, I mean, our -- we've always talked about we need 2% to 2.5% comp growth in our comp set to, on a year-over-year basis, to maintain margin in our comp set. And then over the long haul, as we grow stores, that we could leverage G&A and marketing, as we continue and we -- that's evolved over time as we've seen the impact of our non-comp stores increasingly become a bit of a drag on our overall margins because occupancy costs are higher and they are not as labor-efficient. So that's sort of been offsetting some of the G&A and marketing leverage we've had over the years, there's this big growing non-comp base with higher structural costs. If you look at our guide, we're guiding a -- depending on what number you're picking, if you pick the high to the low, we're guiding kind of 140 to 230 bps year-over-year decline on what would be a negative comp so, and a one point comp is directionally around 40 bps. So every one point is about a 40 bps kind of impact on our business.
Nicole Miller: That's helpful. And just a final question. The guests, where are they going? And I'm trying to understand how you define your competition and rank it. Are they going home and playing these survivorship-type gaming games? Are they going golfing? Are they going to the movie? Retail actually had the strongest fourth-quarter holiday period on record since the great recession. Are they going shopping? Can you frame that up for us?
Brian Jenkins: Well, the competitive environment is something that's rapidly changing for us. You've heard us talk about kind of the combined dining and entertainment landscape for, really, we started talking about it in the first part of 2016 if I remember right. Because prior to that, we really didn't see a whole lot of activity; today, we're tracking a couple of dozen names that are some form of dining and entertainment. And when we look at the past three years as we look at those names and how many stores they have opened, they've doubled their units. They're bigger, collectively, than us, that group of names. In our view, we're still the leader in this space. It's an attractive space. We're generating awesome returns, 50% plus, Year 1. Our view is that's attractive capital. There's a lot of folks looking to put money somewhere. There's been significant investment in this space, and we think it's not going to necessarily go away. It's going to be a headwind for us over the foreseeable future. So that's why Steve and we are talking about what we need to do to continue to evolve the brand, continue to launch compelling content, look at our execution levels, look at how the friction in our system, and, quite frankly, be the first mover in markets. If it's on our list of a potential good solid market in our total addressable market pipeline, to seize the day, so we're not really looking to slow down our counts. We want to be controlled in the growth, but we're really not looking to let a competitor come in and take the spot. So it's something that's evolving and we're tracking a lot of names. There's a lot of folks out there with a couple units in some form of value entertainment. You mentioned some of the categories, golf, dining, entertainment. So we've always talked about two big names but it's broader than that.
Operator: And we have a follow-up question from Jeff Farmer with Wells Fargo. Please go ahead.
Jeff Farmer: When you guys do move ahead with the VR launch at some point midyear, will you be able to roll that out into the entire system at the same time? Or will that be a staggered roll-out over the balance of '18 and 2H '18?
Steve King: It will be big bang, in short. Over 100 stores we'll be in. I think we're going to have to wrap it now. We're over time.
Operator: And that does conclude our question-and-answer session for today. I'd like to turn the conference call back over to Steve King for any additional comments.
Steve King: I'll be brief. Thank you for joining us today. We look forward to reviewing our first-quarter results when we speak with you in early June. Thank you.
Operator: And that concludes today's conference call. We thank you all for your participation and you may now disconnect.